Operator: Greetings, and welcome to the LuxUrban Hotels Inc. Second Quarter 2023 Financial Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. And it is now my pleasure to introduce your host, Devin Sullivan, Managing Director of The Equity Group. Thank you, Devin. You may begin. 
Devin Sullivan: Thank you, John. Good morning, everyone. Thank you for joining us today for LuxUrban Hotel's 2023 Second Quarter Financial Results Conference Call. Our speakers for today will be Brian Ferdinand, Chairman and Chief Executive Officer; and Shanoop Kothari, the company's President and Chief Financial Officer. Before we begin, I'd like to remind everyone that during this call, we will be discussing forward-looking statements, including with respect to financial and operational guidance, the success of the company's collaboration with Wyndham Hotels & Resorts, scheduled property openings, expected closing of noted lease transactions, the company's ability to continue closing on additional leases for properties in the company's pipeline as well as the company's anticipated ability to commercialize efficiently and profitably the properties it leases and will lease in the future. 
 These forward-looking statements are based on current expectations and beliefs concerning future developments and their potential effect on the company. There can be no assurance that future developments will be those that have been anticipated. These forward-looking statements are subject to a number of risks, uncertainties, some of which are beyond our control or other assumptions that may cause actual results or performance to be materially different from those expressed in or implied by these forward-looking statements, including those set forth under the caption of Risk Factors in our public filings with the SEC, including in Item 1A for our 10-K for the year ended December 31, 2022, and in Item 1A of our Form 10-Q for the 3 months ended June 30, 2023. 
 The forward-looking information and forward-looking statements are made as of today's date, and the company does not undertake to update any forward-looking information and/or forward-looking statements that are contained or referenced herein, except in accordance with applicable securities laws. Management will also be discussing non-GAAP financial metrics. A reconciliation of these non-GAAP financial measures to the most comparable GAAP measures can be found in the company's press release. With that said, I'll now turn the call over to Brian Ferdinand, Chairman and Chief Executive Officer of LuxUrban Hotels. Brian, please go ahead. 
Brian Ferdinand: Thank you, Devin. Good morning, and thank you for joining us today. Almost 1 year to the day after completing our initial public offering, I am proud of what we've been able to accomplish operationally, financially and culturally. These last several quarters have been a transformative period for LuxUrban, and I am happy to say that we have entered the second half of 2023 and the strongest position in our history to drive future growth, enhance cash flow, capture the benefits of scale and deliver long-term value to our shareholders. In the second quarter of 2023, we generated record net rental revenue, EBITDA and cash net income. On an adjusted basis, we reported our eighth consecutive quarter of cash-based net income and seventh consecutive quarter of positive EBITDA. 
 We transformed our financial profile by eliminating the entirety of the approximately $9.8 million of senior secured debt held by our pre-IPO lenders and an estimated $87.5 million in future revenue share payments, all while pursuing a focused, high-conviction commitment to growth and profitability. When compared to December 31, 2022, year-end, our quarter end cash position more than tripled. Total debt and net debt each declined significantly and shareholders' equity improved by nearly $17 million. We continue to pursue a significant pipeline opportunity that's accelerating as hotel owners facing upcoming debt maturities. Deal flow remains incredibly strong, which allows us to pursue only the most favorable properties and deal structures to advance our growth. We continue to adhere to strict operating controls, and we believe that we currently have the lowest per night property level breakeven costs in the markets we serve. 
 We also transformed the arc of our anticipated growth by announcing a partnership with Wyndham Hotels and Resorts, the world's largest hotel franchise company. Highlights of the deal include the LuxUrban Hotels initially being added to the Wonder portfolio are expected to be integrated into the Trademark brand and intern Wyndham's booking channels by the end of the year, likely sooner. By using Wyndham's platform, we expect to see a significant reduction in commissions and online booking fees compared to our prior operations. As a reminder, the Wyndham Rewards program serves more than 100 million members. We have already begun the integration, and it's underway. Wyndham will provide LuxUrban with significant upfront initial nondilutive working capital and growth capital based primarily on LuxUrban's existing property portfolio with ongoing non-dilutive acquisition and working capital to be provided by Wyndham to fund future MLAs. 
 LuxUrban properties covered under this agreement will operate on Wyndham's world-class operational and customer service support systems, which are expected to enhance LuxUrban's cash flow by optimizing enterprise-wide operating efficiencies and LuxUrban will remain operating control of its hotels while being jointly branded and marketed in partnership with Wyndham. We're incredibly enthusiastic about our alignment with Wyndham and believe that the financial brand and operating advantages will make LuxUrban even more attractive solution for property owners looking to employ our asset-light triple-net lease alternatives while maintaining ownership of their assets. With that, I'll turn it over to Shanoop Kothari, our President and Chief Financial Officer, for a review of our financials. 
Shanoop Kothari: Thank you, Brian. We reported another strong quarter and continued to validate the growth in earnings power inherent in our model. Net rental revenue tripled to $31.9 million from last year's second quarter, driven primarily by an increase in average units available to rent from 565 in Q2 '22 to $1,086 in Q2 '23 as well as improved revenue per available room or RevPAR. Year-to-date RevPAR rose to 291 from 183 in Q2 '22 and from 247 at December 31, 2022. 2Q 2023 total cash rent expense was $4.8 million or 15.2% of net rental revenue compared to $2.1 million or 20.9% of net rental revenue in the same period last year. Noncash rent expense amortization was $2.6 million, up from $1.1 million in Q2 '22. 
 Gross profit rose to $10.2 million or 31.8% of net rental revenue from $2.9 million or 28% of net rental revenue in Q2 '22. G&A expenses increased to $4.4 million or 13.9% of net rental revenue compared to $900,000 or 8.7% in Q2 '22. Our net loss for the second quarter was $26.8 million or $0.78 per share as compared to net income of $762,000 or $0.04 per share in the second quarter of last year. The primary driver of the net loss was a $28.5 million onetime noncash financing charge associated with the revenue share agreement that eliminated an estimated $87.5 million in future revenue share payments that we would have been contracted to pay. We also incurred a $1.2 million onetime cash interest and financing costs associated with the retirement of debt and related premiums associated with this.
 While these charges did impact our results, they should not mask the positive impact of the elimination of these revenue share payment obligations we would have had on our business over the long term, primarily by removing the drag on our financial results, increasing our access to growth capital and providing financial flexibility. Exclusive of these items, adjusted cash net income improved to $7.2 million, up from just under $1.9 million in last year's second quarter, and EBITDA improved to $8.4 million. Going forward, we will not have charges related to financing, but we'll continue to have regular stock compensation expense associated with equity grants and noncash rent expense amortization associated with ASC 842. For the quarter ended June 30, 2023, our EBITDA margin increased to 26.5%. As we have discussed last quarter, our goals are to achieve 20-plus percent EBITDA margins in the short term and 25-plus percent EBITDA margins over the long term. We reiterate this guidance.
 During the June 2023 quarter, our unit hosting guests rose to 1,086 from 988 in the prior quarter and 479 in 2Q '22. Moving to the balance sheet. At June 30, cash and cash equivalents totaled $3.8 million, a $2.7 million improvement from December 31, 2022. Restricted cash was unchanged at $1.1 million. Total debt at quarter end declined to $4.6 million from $14 million at December 31, 2022, and net debt in the quarter and was about $800,000, down from $10.3 million at year-end 2022. We continue to work on our payables and working capital and made strides during the quarter. Our working capital position narrowed to a negative $2.4 million at June 30, 2023, from a negative $13.5 million at December 31, 2022. However, removing short-term lease liabilities, our working capital for June 30, 2023, was positive $3.7 million versus a negative $9.6 million at December 31, 2022. That said, we will continue to work towards improving our liquidity and working capital throughout the balance of the year. 
 During the quarter, we deployed $4 million in security deposits and for the 6 months, over $8 million. As we have stated previously, we continue to make efforts in improving free cash flow and liquidity and look to improve these metrics while continuing to reduce our debt over the coming quarters. Looking at our portfolio at June 30, 2023, and today. As of June 30, we operated 12 properties, 1,086 units in 5 cities. As of today, we operate 15 properties with 1,411 units hosting guests in New York, Los Angeles, Miami, Washington and New Orleans. We have under -- we currently have under MLA 17 properties totaling 1,625 short-term rental units. As of June 30, 2023, across our portfolio, our investment in security deposits were $13,554 per unit with the high being in New York at $17,307 and the low end in New Orleans and D.C. at $5,000 and $6,329, respectively, per unit. We expect these amounts to remain relatively consistent in the near future. 
 Regarding guidance. We have maintained our net rental revenue and EBITDA guidance for 2023 and 2024. We expect that all-in RevPAR for 2023 will be between 250 and 280, and we expect gross margins of 30% to 40%. G&A, excluding noncash items, will approximate 10% to 12% during the year. We believe that this will result in EBITDA margins of 20 to 25 plus percent. We continue to expect year-end operating units to be between 2,500 and 3,000 short-term hotel units under MLA, up from 844 at December 31, 2022, and 1,625 as of today. The timing to reach the goal of between 2,500 and 3,000 units may positively impact our revenue guidance for the year. A few additional comments about the Wyndham partnership. We estimate key money reduced by required CapEx provides us over $50 million of synthetic financing over the course of the initial stages of the agreement. We believe this could increase over time, subject to, one, how we perform under the agreement; 2, the quality of the pipeline; and 3, continued dialogue with our partner. 
 The transaction provides us significant benefits, reducing operating expenses when we drive booking traffic to Wyndham's booking channels. Based on our expected case, we believe we will improve RevPAR, which will impact us starting 2024 and reduce OTA costs by about 1/3 based on our current of booking fees. The net impact, once we're fully operational will be after year-end. Finally, we have yet to quantify the secondary benefits of staffing and resources at LuxUrban as we continue to become more dependent on Wyndham for items we are currently heading on an operational basis. With that, I'll turn the conversation back over to Brian. 
Brian Ferdinand: Thank you, Shanoop. I believe we're going to open this up for questions now. Just want to thank everyone for participating. And I'll turn it over to Devin to open up for questions. 
Operator: [Operator Instructions] And the first question comes from the line of Allen Klee with Maxim Group. 
Allen Klee: Congrats on a very strong quarter. When I look at one area where there was a strong positive variance compared to our model was your revenue per available room. Could you just give some color on what -- there's a lot of things that go into RevPAR? What drove the jump there? 
Shanoop Kothari: Yes, sure, I'll take that. So Allen, so the jump -- so we did 257 last quarter. The jump to the $291 million for the 6 months is related to timing of certain higher-quality properties that came on primarily early part of the second quarter as well as sort of tick up for the summer season, coupled with sort of the downside of the January side. So a little bit better than we expected, but I think it's just related to the higher quality average properties that were put on at the early part of the quarter. 
Allen Klee: In terms of Wyndham, I was looking through your 10-Q in it, you say that you'll pay them around a 6% franchising fee on gross booking units in the beginning, which will rise to 6.5%, but the cost savings you're going to get from the order -- booking orders and using their system and that your net expenses will decline as a result of that. I heard you say something reclined by 1/3. I didn't quite catch that. Could you talk a little about the factors and some sense of the decline in expenses that can come from Wyndham? 
Shanoop Kothari: Yes, sure. So franchise fees, along with booking fees on their platform, is about 1/3 less than what we currently are OTA agreements. So to the extent that we're driving traffic through Wyndham's platform, it's about a 1/3 reduction, basically, call it, OTA and other fees. If we go -- if we continue to use OTAs, they have a better negotiated rate than we do. So that plus the franchise fees is more expensive. But we fully expect and all the guidance we've gotten from the Wyndham team is that a significant part of our future bookings over time will go through their platform and through their rewards members and such. The way we've modeled it is about a little less than half is sort of the breakeven for it, but we fully expect to be much higher than that as we fully ramp up. 
Allen Klee: And I thought I also heard you say that this would improve your RevPAR. Could you explain how the Wyndham transaction could improve the RevPAR? 
Brian Ferdinand: Yes. I'll take that just from a marketing perspective. Allen, it's Brian. So Wyndham has over 100 million rewards members worldwide and the largest rewards program in the world. So they have members that utilize both through the -- internally, so through the Wyndhams words, where in particular, New York City, Wyndham has limited supply because rooms have an oversupply of people looking and certainly in the other cities as well. So we look at being able to increase RevPAR in particular, in New York, very handsomely through Wyndham's marketing programs as well as the rewards program. So we think we'll see increased demand through those channels, which we don't have access to today. It's very, very substantial. 
Allen Klee: That's great. And my last question, and I'll jump back in the queue. You also said it could provide around $50 million of synthetic capital. And so they'll be providing you working capital and basically paying some of the security deposit, which had been maybe one of the higher costs that maybe constrain some of your growth that, that could get eased up. Is there anything you could add some color on how you're going to think about the benefit from that over the next year or 2? Like maybe in terms of the amount of rooms you can add. 
Brian Ferdinand: Absolutely. So just as a point of fact, if you go to the balance sheet from this Q, we have invested $19.6 million into security deposits with $3.5 million of letter of credit. So call it about $23 million total invested into the portfolio in terms of deposits, which was our largest outlay of capital for those hotels. And that portfolio generated $8.4 million of EBITDA. So when you're looking at an ROI or investment, you got $23 million invested into the hotel properties, and you're generating $8.4 million of EBITDA a quarter annualized about $33 million of EBITDA on $23 million invested. So we had talked about $1 of investment into security previously for $1 of EBITDA. We're seeing a greater return than that currently. And then in particular, Wyndham provides us as part of the franchise agreement, capital or enhancements to the property as well as working capital for the operations of the property and a portion of the security. 
Shanoop Kothari: And Allen, it's $15 million the way we've modeled it, not $50 million. 
Operator: And the next question comes from the line of Bryan Maher with B. Riley Securities. 
Bryan Maher: We're starting to see a little bit of an acceleration in handbacks of hotels from some of our coverage companies to the banks in lieu of refinancing difficulties. Are you subsequently seeing a pickup in inbound calls and opportunities for you? And kind of as a second part to that question, are you seeing any changes in the terms that owners are looking for today relative to kind of what you saw up through the first quarter. 
Brian Ferdinand: So yes, we are definitely seeing several a day. We're getting shown every distressed deal throughout that in of a refinancing where that is overlevered. So we're very carefully selecting in a very disciplined approach. Only the properties that really are turnkey from a CapEx perspective and then also meet our underwriting criteria, which hasn't moved since the start of the business. So we're still seeing significant pipeline opportunities, significant opportunities in the same rent or underwriting bands that we have done historically. So we have not moved up our underwriting criteria. We're seeing things come in at the same or lower. 
Bryan Maher: Okay. And has there been any change in your target markets outside of what you've talked about in the past, are there any markets within the U.S. or outside the U.S.? I think maybe you talked about London before where you're focusing your attention? 
Brian Ferdinand: Yes. So it's the 5 cities we're in today and then it's Boston and London that we're actively pursuing opportunities. We've continued to scale rapidly in New York represents the largest opportunity. We will be concentrated in New York City represents the largest part of our pipeline as well. But Boston and London are 2 other cities that meet both our underwriting criteria and also have the attributes that we look for in terms of volumes travelers and RevPARs that are sustainable that meet our risk profile. So really a 7-City footprint. It's possible that we will look at other cities in partnership with Wyndham around specific opportunities in the future. But right now, as far as LuxUrban is concerned, it's the 7-City footprint that we're focused on. 
Bryan Maher: Okay. And maybe last for me in New York City since you brought that up. You can't open a newspaper or turn on the TV without seeing inbound staying at the Roosevelt Hotel and what kind of a disaster that is outside the Roosevelt Hotel. I don't know what New York City is paying Roosevelt for their rooms. But as it relates to the closed hotels in New York City that you might be able to strike a deal with. What's going on there with immigration and people showing up in New York impacting your ability or cost to take down any of those hotels. Just curious what you're seeing. 
Brian Ferdinand: Yes. I mean what it provides is a short-term alternative for hotel owners that are distressed, but it doesn't allow them to refinance on a city contract. So an owner who if you look at, in particular, like New York City, the owners went into foreclosure took the city money and now we're trying to restructure their debt. It hasn't allowed them to restructure. So it's really a band-aid on a larger problem, and some owners are opting for short-term cash. I do believe that it will create a secondary pipeline. It's about -- I think close to 100 hotels in that program. So as they clear out in the programs, I think it will give us a secondary pipeline beyond that to clean up those hotels, bringing back online hotels. We've talked to several owners around that as well that are in city programs that are looking for ways to take care of their debt obligations and restructure on long-term triple net leases. We've even done 2 deals with the city program hotels that the owner is going to turn back, refurbish them and then turn them over to a 7-City program. So it's really just a secondary pipeline opportunity for us. 
Operator: And the next question comes from the line of Alex Fuhrman with Craig-Hallum Capital Group. 
Alex Fuhrman: Just a follow-up on the Wyndham deal there. Can you walk us through kind of how you expect to get that level of kind of bookings from the Wyndham channel? Is that just a natural function of being exposed to that many members you plan on removing your properties for any existing OTAs or were raising rates or anything like that or any other channels to kind of help direct things in that way? 
Brian Ferdinand: Alex, could you repeat that? I'm sorry, I lost the last part of it broke up a little. 
Alex Fuhrman: I guess the question is how are you -- how do you envision Wyndham getting to that level of your bookings? Are you going to be removing your hotels from any other OTAs or channel partners are raising rates through any other channels? Or is that just going to -- do you think happen organically as a function of being exposed to that many Wyndham members? 
Brian Ferdinand: Yes. I mean I think we ran internally our model with them. We're 91% OTA-driven today. So paying close to 15%. I think our cost was -- this quarter was $3.7 million in third-party OTA commissions with the number, plus about $1.5 million in additional processing fees. So all in, about $5.2 million went out the door this quarter in expense. They typically provide an urban core on their properties. 85% direct booking. So we're talking about modelling our cost savings at 1/3. So substantial leverage in -- we would not -- to answer your question specifically, would not remove them, but I think that they will pick up a large portion of our bookings, both through rewards. Also, they have a pretty sophisticated sales and distribution as well. And they also have group sales, B2B sales, specific departments around that. And they have 9,000 plus hotels globally, largest franchise company in the world. So their sales and distribution is very powerful, almost as powerful, if not as an OTA itself. So we're looking at redistributing cost savings there. So yes, it's pretty powerful, and we did a pretty extensive work on it. 
Operator: And the next question comes from the line of Matthew Erdner with JonesTrading. 
Matthew Erdner: Sticking on the expenses side, what are you guys seeing in terms of property-related costs such as utilities, labor, WiFi, TV, stuff like that and the expectation going forward? Are we going to see increases there kind of similar to the rent expense? 
Brian Ferdinand: Yes, so the way we look at it, so we got to about 26.9% EBITDA margins this quarter. We were in the low 20s last quarter. Part of that is the impact of new property additions is less of a drag. As we continue to grow the portfolio, when we enter into a new property, we hire on the staffing, we're ramping up the revenues associated to it becomes less of an impact. As we continue to grow, we historically were very scrappy, start-up bootstrap company. We continue to sort of run in that sort of mindset. So consolidation of operations, cross-staffing different properties with personnel, GMs and maintenance crews and so forth. We're meeting with utility companies actually as we speak now to leverage the economies that we're developing. So I would say, overall, look, I think there are still plenty of areas where we can improve. So I'd actually look at it from a different perspective as we grow and we become a more better capitalized, a larger player, I think we can get some savings to offset pricing increases. So net-net, I would be looking at sort of the same level of cost. 
Matthew Erdner: Okay. That's helpful there. And in terms of occupancy, you guys, I believe, had your best quarter ever there at 80%. How is it tracking this quarter, if you have any insight into that for the remainder of the summer? And then what is the expectation once the fall starts and schools back in session? 
Brian Ferdinand: Yes. So I think we're going to improve occupancy as we continue through the balance of the year. It's tough in Miami right now with the weather, but that should pick up in the fall. New York continues to stay very robust. I mean, anecdotally, I tell people that every time I come to New York, it's difficult for me to find a room in one of our properties. So it continues to be that way. We're also pretty focused on perishable selling the perishable inventory we have. So look, I would -- we're getting better at optimizing. You picked it up in terms of occupancy. I think we still have some room to increase that. We run a business where every night that goes by, we have a bake of room, it's lost revenue. We have to balance that with the brand and our partner and so forth, but we will continue to try to increase that. So I would say that for the balance of the year, we would like to improve that with sort of the baseline of where we're at right now. 
Operator: And the next question comes from the line of Tom Kerr with Zacks Investment Research. 
Thomas Kerr: One more follow-up on the winded deal. Do they have any operational input? I was confused on that? Or do you still operate the hotels as you see fit, and this is just a reservation pricing type deal? 
Shanoop Kothari: We maintain operating control and then we collaborate on revenue management, sales and distribution as well as standards and customer service and also standards internally on the property as well. 
Thomas Kerr: Does that mean you don't use your pricing algorithms that you have developed over the years? Or you collaborate on that? 
Shanoop Kothari: We still -- we collaborate. We still run sales and distribution in connection with their team. 
Thomas Kerr: Okay. Got it. A couple of quick financial questions. So the share count increased because of the revenue share agreement, so the average shares of the ending shares for the third quarter will be $44.2 million. Or that should be the ending? 
Brian Ferdinand: Yes. So if you look at the cover of the Q, the shares issued are the slightly under $36 million. The way the rev share agreements are structured the debt holder can call on additional chairs. So that's the 44, that's an all-in number of what's been committed on the rev share agreement. 
Thomas Kerr: But we don't know if those have been issued until they execute... 
Shanoop Kothari: Yes. Yes. They asked for those to be issued. We issued them. So that's sort of the delta between the 2 numbers when they ask, we issue. So eventually, it will get to for that $44 million. 
Thomas Kerr: Okay. But it could be a long way away or several quarters out. 
Shanoop Kothari: Correct. Yes, there's an extended lockup on those through 2022. 
Thomas Kerr: All right. And then any guidance or color on the tax rates in the second half of the year, the second quarter tax rate seemed a little confusing? 
Shanoop Kothari: Yes. So the non -- majority of the noncash expenses are nondeductible for tax purposes and also there's a limitation on interest expense, what you can do. So our interest expense based on our financing is kind of moving around. But if you so the way I'd calculate taxes is on a cash basis to take out the noncash, we're roughly 28% to 30%. That's combined for state. 
Thomas Kerr: Got it. All right. Last one. So the units -- operating units, the $16.25 number -- would that be the rough estimate of units at the end of the third quarter, meaning average units for the third quarter would be in the 1,300 or something like that? 
Shanoop Kothari: So we've laid it out, if you look at the MD&A section of the Q, I've laid it out, I think it's Page 19. So we have 14, 11 operating currently with the balance. There's 2 properties that are not quite operating right now. Those 3 that are operating this quarter were at the beginning of the quarter. So it'd be 1,400 plus what we open and operate between now and the end of the quarter. So probably somewhere higher than that. 
Operator: At this time, there are no further questions. And I'd like to pass it back over to Brian Ferdinand for any closing comments. 
Brian Ferdinand: Thank you again, everyone, for your participation and continued interest in LuxUrban hotels. We were very pleased with our progress and look forward to updating you throughout the year. Have a great day, and thank you, everyone. 
Operator: Ladies and gentlemen, this concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a great day.